Operator: Good day, everyone, and welcome to the Credit Acceptance Corporation Third Quarter 2015 Earnings Call. Today's call is being recorded. A webcast and transcript of today's earnings call will be made available on Credit Acceptance's website. At this time, I would like to turn the call over to Credit Acceptance's Senior Vice President and Treasurer, Doug Busk.
Doug Busk: Thank you, Candace. Good afternoon, and welcome to the Credit Acceptance Corporation's third quarter 2015 earnings call. As you read our news release posted on the Investor Relations section of our website at creditacceptance.com, and as you listen to this conference call, please recognize that both contain forward-looking statements within the meaning of Federal Securities law. These forward-looking statements are subject to a number of risks and uncertainties, many of which are beyond our control, and which could cause actual results to differ materially from such statements. These risks and uncertainties include those spelled out in the cautionary statement regarding forward-looking information included in the news release. Consider all forward-looking statements in light of those and other risks and uncertainties. Additionally, I should mention that to comply with the SEC's Regulation G, please refer to the adjusted financial results section of our news release, which provides tables showing how non-GAAP measures reconcile to GAAP measures. At this time, Brett Roberts, our Chief Executive Officer, Ken Booth, our Chief Financial Officer, and I will take your questions.
Operator: [Operator Instructions]. And our first question comes from John Rowan of Janney. Your line is now open.
John Rowan: I'm just trying to understand what drove that provision expense, because it doesn't look like -- it looks like the only vintage where there was a negative variance versus June was 2012. But if you look at the footnotes on 2015, it doesn't look like you actually wrote down anything through June 30, and that the reduction was more just new paper. So, I'm curious as to why there was a provision if it doesn't like you were writing down anything substantially that had already been booked?
Brett Roberts: I think the best way to approach it is, you have to understand what generates the provision for credit losses, understand how we account for the business and understand why we provide adjusted earnings. I think, if you go through any of our public filings, if you want to grab last year's Annual Report just read my letter, I think, we take a lot of effort and time to explain exactly how that works. And the bottom-line, is the reason, we provide the adjusted earnings is because we don't believe the GAAP provides a true picture of the economics. So in the adjusted earnings, there is no provision for credit losses and you don't have to worry about questions like the one you just asked.
John Rowan: I understand how the accounting works, but when you take a provision it means that you are reducing the expected forecast and collections of a certain pool, and I just want to understand where that -- you must have written something down as to how the provision works, so I'm trying to understand.
Brett Roberts: May be the thing you're missing is it's done on a dealer-by-dealer basis. So if you think about it thousands of dealer pools. Our overall forecast doesn't change at all, and one dealer pool the forecast goes up by $1,000 and on another pool it does goes down by $1,000. So the way the GAAP accounting works is we take a provision for the unfavorable $1,000 and we take the favorable $1,000 in overtime as a yield adjustment. So in a simple example you can see how the forecast didn't change at all and yet we recorded a $1,000 provision for credit losses. So let's just apply that to the thousands of pools and what you have in a situation where pretty much every quarter we have positive forecast variances and yet we recorded a provision. So hopefully from that you can understand that there is not necessarily a relationship between the overall forecast change and the amount of provision that's recorded.
John Rowan: You know, I understand that, and the yield adjustments come through and look like an increase in the effective yield on the portfolio. I get that, and obviously those are provisions over time have offset some of the reduction in spread to help make the portfolio yield look and realistically is actually better than what you had forecasted. But, I mean, a provision means that you're writing down something, and I just -- I mean, I guess maybe I'm not going to get an answer to it, but there is obviously a reduction to something. But I guess moving on --
Brett Roberts: Didn't I answer that when I described how the example the dealer pools obviously they don't come.
John Rowan: No, I know that.
Brett Roberts: We wrote down dealer pools and I think answered your question.
John Rowan: No, I understand. I was just trying to understand what you wrote down. Was it 2015? Was it newer loans? I'm just trying to get some color around where something underperformed.
Brett Roberts: Nothing underperformed you can see that on Page two of the earnings release if you look at the overall performance, we had an overall positive forecast change for the quarter but the overall business didn't underperform. If you think about thousands of dealer pools, you're going to have some that underperform, roughly half in any given period and some that over perform again roughly half. So it's 50% that underperformed the generative provision.
John Rowan: Okay. The ABS market. There has been some chatter of some disruptions. Obviously, the spreads on some of the lower tier loans with -- the lower tranches have widened quite a bit. What type of pricing do you think you'll get on future deals, and do you think there will be any impact on new rules that are going to require you to hold more equity against future deals?
Doug Busk: Good point the as compared to the first part of this year the spreads on really all tranches of ABS are wider, AAA all the way down to BB, the spread widening is more pronounced the further down you go in the capital stack. Our last deal that we did was done in August and including issuance fees had a all-in rate of 3%. I think it's fair to say that if we were to issue today just basic looking at the experience of other issuers, we probably be in the 3.3%, 3.4%, 3.5% range that's how much spread widening is occurred in the market since August. Relative to the risk retention rules, we already hold a sizable first loss position in the securitizations, 20% OC plus a reserve account. So the risk retention rules as written aren't going to really have an impact on the structure of our deals.
John Rowan: Okay. I just want to make sure that 20% OC was more so a function of the 80/20 split with the dealer as far as the cash flow, but that does count for the reserve account, I assume, under the new risk retention rules?
Doug Busk: The 20% OC that I alluded to really relates to the dealer loan and purchase loan balance that we contribute to the deals. So we're securitizing our investment in the loan and as we understand that the risk retention rules would apply to our investment in the loan.
John Rowan: Okay. And then just last question for me. There was a lot of growth from new dealer partners, right? 69% growth in units from new dealer partners, and obviously since July there has been a pretty big reduction in the forecasted collections. And obviously that's made up with a reduction in the advance rate. But I'm trying to understand with the new dealers that you're going after, are you gaining pricing power going into new dealerships? Because there is less competition, more competition, are you able to drive the advance rate down on new dealerships more so than legacy dealerships? And how is that changing the customer profile that you're going after with all these new dealerships?
Brett Roberts: Two separate things, so there is a mix of business is changing a bit which we talked about in prior calls. Then new dealers who sign up on our program they get the same program as everyone else. So there is really no difference between a new dealer and an existing dealer from that perspective. To put in prospective, we wrote 73,000 plus loans in the quarter and just over 4,000 of those were from dealers that were new.
John Rowan: Okay. Thank you very much. Have a good evening.
Operator: Thank you. And our next question comes from Moshe Orenbuch of Credit Suisse. Your line is now open.
Moshe Orenbuch: Great, thanks. Doug, I think you just kind of alluded to a little bit about the change in mix towards the purchase loans, and that continued in this quarter. It's been going on for several quarters. Could you just kind of talk about how you see that shaking out prospectively?
Doug Busk: As we talked about in the prior quarters we see that as really just a different channel for us. We like our traditional portfolio program because it creates an alignment of interest between ask the dealer and the customer who was purchasing the vehicle. So that's the program that we prefer. Having said that, we do see that there is a different market out there, a different channel for us consisting of dealers that aren't interested in that traditional program, and we think there is a subset of those dealers that we can write profitable business at and so we've begun to pursue those dealers. It has increased. It's still much lower in terms of the distributions than it was in '07, for example, still pretty modest percentage of the total. We're happy with that business, we're happy with how it's performing, and we're happy with the profitability and we'll hope -- we hope to continue to expand it.
Moshe Orenbuch: Got it. And the comments that you made about capital return, I mean, while that accelerated level of growth is there, is that still kind of in effect, I guess?
Doug Busk: You know, it's something we look at on an ongoing basis. Obviously, we've been growing more rapidly this year, haven't bought back any stocks but it's something we continue to evaluate. We have a very strong position from an availability perspective. We have $950 million available on our revolving lines of credit, over $100 million in cash, so very good liquidity position. So we will continue to assess that on an ongoing basis.
Moshe Orenbuch: Right. And the last thing for me is one of the metrics that you've kind of pointed out before, the volume per dealer, and you had some good growth there, I would say. I mean any kind of -- Anything you can kind of tell us about overall competitiveness of the market or how we should think about that prospect in the latter part of this year and into 2016?
Brett Roberts: Yes, it was a solid quarter from a volume-per-dealer perspective, up 10.6%. So we're very pleased with that result. In terms of the competitive environment, really, all we can say is it was good enough to allow us to grow volume-per-dealer at 10.6%. How much of that is things we’ve done internally and how much of that is the external environment is always difficult to say.
Moshe Orenbuch: Anything you can kind of share with us about the steps you've taken internally?
Brett Roberts: I think from a sales execution standpoint, we're pleased with our progress there; we did grow the sales force very rapidly for a period of time. We have some work to do to make that successful and we're starting to see I think that payoff in terms of the productivity per salesperson. I think it shows up most visibly in the new dealers that we're signing up. Volume-per-dealer can be affected by a lot of different things but I think when we sign up a new dealer, we can attribute that to the sales team. So I think they’re doing a great job. We've made some program changes. I think the changes we've made with respect to terms have been popular with the dealers. We've begun to originate all of our contracts electronically, and that's been a very popular add for our dealers. So I think there are a lot of things that we're doing internally that we're proud of.
Operator: Thank you. And our next question comes from John Hecht of Jefferies. Your line is now open.
John Hecht: Thank you very much. I guess just may be a question, stepping back, I'm interested in your opinion what's going on generally speaking with consumer credit. We just got a lot of mixed economic data, you're seeing a little bit of mixed singles in terms of charge-offs from some of the indirect lenders. So I just want to see, do you see any duress in your customer base or anything that would just give us any indication what might be going on out there?
Brett Roberts: I think the best answer for that would be on Page two of our earnings release, we go through each year's origination, we provide 10 years of data which is pretty unique, I don’t think anybody else in the industry provides that level of disclosure. We tell you exactly what we thought when we originated a loan, how we thought it was going to perform and then we compare that to how it actually performed in overtime and tell you whether we were optimistic or the opposite when we wrote the loan. What you learn from that is over the last 10 years, we have an overall favorable variance with eight years that were positive and two of them that were negative. The two years that we're unfavorable I think remarkable and because they both occurred during the financial crisis when those loans are serviced during a very period of severe economic distress and the variance is although they were negative were very small in terms of the magnitude. So what we see more recently is that the positive -- every pool still has the positive variance with last eight years but the magnitude in that positive variance has been decreasing. So that may be evidence of what you're talking about typically when you go through a period where there is more competition that can show up in loan performance. So we've been expecting that for the strong positive variance that we've seen to diminish and so if you look at those static pools we provide, you can certainly see that trend.
John Hecht: Yes, I see that. And I guess, then, may be a different way of asking it is, your collection expectations for this year are lower, I think than any year's ex-2007. Is that -- and I know you guys, your accounting and your credit risk exposure is totally different than that, but is that because you're buying deeper or is that because the consumer is under more duress?
Brett Roberts: It doesn't have anything to do with duress; it’s really just a change in the mix of business primarily a longer term.
John Hecht: Okay, the term, okay, that answers the question. You guys spoke of that last quarter. Okay, second question is, I'm just curious about this, because we track regulatory issues and we've heard over and over the CFPB and their focus on the dealer markup issue and the disparate impact. I'm just wondering, you guys buy so much differently than an indirect lender, is that issue associated with you at all, or because you buy differently that's not even a relevant issue?
Brett Roberts: I think the way we look at it is anything that's a priority for the CFPB becomes a priority for us. So we watch everything that they say everything they do, we read everything that they publish and we pay careful attention to it and we make sure that we're comfortable with the way we address those issues.
John Hecht: Okay. But with respect to duress --
Brett Roberts: I'm sorry.
John Hecht: There are issues I'm sure you're focused on, but is there a specific dealer markup with each of your loans because you're just buying at a discount that part of that's not a directly relevant concept?
Brett Roberts: It’s a different issue for us. We don’t do the traditional buy rate; sell rate methodology that has been talked about by the CFPB. So we don't get the dealer rate so you can mark it up and we will pay you the difference. That's not the way our program works, we typically set the rate for the dealer.
John Hecht: Okay, that's what I thought. Thanks very much.
Operator: Thank you. [Operator Instructions]. And our next question comes from Robert Dodd, Raymond James. Your line is now open.
Robert Dodd: Going back to the provision issue, if I can. I understand the balance between some dealers within pools outperforming, some underperforming. If we look at this year, it was $1 million, $2 million, $5 million, so it's accelerating. Is there anything -- it looks becoming may be arguably something more of a bar balance in terms of groups of dealers disappointing expectations at may be a higher rate. Is there any commonality between the groups that are getting the markdowns? Geographic size of loan, term of loan, anything like that in terms of warnings about where you may make adjustments in terms of how you deal with these dealer groups and new dealers that match the same kind of specs?
Doug Busk: We don't really look at it through the lens of the provision. I mean the provision is the something we do for our GAAP statements and we don't really focus on that internally because we don't believe it's not really a real expense not how we think about the business. But we definitely look at variances between actual performance and forecast performance you look at it across, segments, combination of segments, we look at every way you can think of we always done that. If we feel like, if we see any trends by segments then we make adjustments.
Robert Dodd: Okay, got it. Thank you. On the collectability, obviously in the first half, 68.5%, the initial forecast, and that's come down in the third quarter. The advance has come down as well, but not as much. So the spread on the -- the projected spread on the new loans has come down a little bit. Obviously, there is mix related there, but can you give us any -- is there a level at which you would be comfortable continuing to originate loans that's lower than where they are currently, or have we kind of reached an IRR floor, from your perspective on where pricing mix, so-to-speak, could go?
Brett Roberts: The return was 12.6%, unlevered after tax return on capital for the quarter, so still a very strong number it's well above our weighted average cost of capital which would be the floor at which we stop originating business.
Robert Dodd: Right. But just to clarify, the return in the quarter is not really dominated by the originations from this quarter, right. So I don't know what the incremental return you expect at a 65.5% and 22.8% spread, but it's not going to be the same as the blended average, right? So any more color on there on kind of the incremental rather than the average?
Brett Roberts: I think it's the same point; it's the incremental return, the return on business that we expect to make on the business we wrote last quarter is still well above our hurdle rates.
Operator: Thank you. And our next question comes from Vincent Caintic of Macquarie. Your line is now open.
Vincent Caintic: Just have kind of a broader industry question. We've been hearing feedback from some other subprime auto lending companies including Santander this morning that 2016 is shaping up to be more competitive on one hand, and also, the recovery rates are forecasted to may be come down a bit. And I was wondering kind of what your view is on the industry landscape; how does that affect your business and what's your take on perhaps how things are going to operate in 2016? Thanks.
Brett Roberts: I don't have any insight into how competitive it's going to be next month let alone 2016. So I really no insight into that, we always price the business the same way to maximize the total amount of economic profit we generate. We know we’ll go through periods where it’s difficult, we'll go through periods where it's easy and we're prepared to adjust both those periods but we don’t spend a lot of time trying to figure out which period we’re going to be in next month or next year. In terms of recovery rates that’s something you think, would have a meaningful impact on the business. But if you look overtime whether the Manheim Index is at 120 or something away less than that, this doesn’t had a big impact on our financial results. So don’t really spend a lot of time thinking or worried about that either.
Operator: Thank you. And our next question comes from Lucy Webster of Compass. Your line is now open.
Lucy Webster: Hey, guys. I'm not sure if this is something that you've ever talked about before or may be that you would provide. But I'm just wondering do you have a sense of the sort of percentage of loans in your portfolio program that end up in repossession or being repossessed?
Doug Busk: Yes, it's about, 35% approximately.
Operator: Thank you. And our next question comes from Clifford Sosin of CAS Investment Partners. Your line is now open.
Clifford Sosin: Hi. My question has to do with the difference in unit volume percentage growth and dollar volume percentage growth. I understand from the release that it was due to a decrease in the average advance rate due to a decrease in the average initial forecast. I guess what drove the decrease in the average initial forecast of consumer loans? Was it a lower level of used car prices, a difference in the tiering of the customers, or something else?
Brett Roberts: Primarily it's a mixed issue, primarily are the increasing term.
Clifford Sosin: I'm sorry, increasing the tier, you said?
Brett Roberts: Increasing term.
Clifford Sosin: Wouldn't a term, an increase in term increase the dollar value per unit?
Brett Roberts: It would increase the size of the loan which we point out in the press release. So it increases the some of the payments due from the consumer but that was more than offset by a reduction in the advance when expressed as a percentage of the some of the payments due from the consumer. So the longer-term loan all equal have a lower forecast a collection rate that caused us to drop our advance which was the primary driver behind the smaller advance and lower dollar volume versus unit volume.
Clifford Sosin: Okay. I'll catch up with you on this later. Thank you.
Operator: Thank you. And with no further questions in the queue, I'd like to turn the conference back over to Mr. Busk for any additional or closing remarks.
Doug Busk: We'd like to thank everyone for their support and for joining us on our conference call today. If you have any additional follow-up questions, please direct them to our Investor Relations mailbox at ir@creditacceptance.com. We look forward to talking to you again next quarter. Thank you.